Operator: Good day, ladies and gentlemen and welcome to the Q3 2013 Orion Marine Group, Inc. Earnings Conference Call. My name is Catherine and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Mr. Chris DeAlmeida, Vice President, Finance and Accounting. Please proceed sir.
Chris DeAlmeida: Thank you. Good morning and welcome to the Orion Marine Group third quarter 2013 earnings conference call. Joining me today are Mike Pearson, Orion Marine Group’s President and Chief Executive Officer and Mark Stauffer, our Executive Vice President and Chief Financial Officer. Regarding the format of the call, we have allocated about 15 minutes for prepared remarks in which Mike and Mark will highlight our results for the quarter and update our market outlook. We will then open the call for sell-side analyst questions for the remainder of the time. We would ask that you limit your questions to one question and one follow-up before getting back in the queue. During the course of this conference call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profit, gross margin, EBITDA, EBITDA margin, backlog, projects and negotiation and pending awards, as well as our estimates and assumptions regarding our future growth, EBITDA, EBITDA margin, gross margin, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties, including those described in our 10-K for 2012 that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Also please note that EBITDA and EBITDA margin are non-GAAP financial measures under the rules of Securities and Exchange Commission, including Regulation G. Please refer to the reconciliation accompanying this earnings call available on our website, at www.orionmarinegroup.com for comments on the use of non-GAAP financial measures as well as the applicable reconciliations to the most comparable GAAP measures. Also, please refer to our earnings release issued this morning, October 31, 2013 and our quarterly and annual filings with the SEC, which are available on our website for additional discussions of risk factors that could cause actual results to differ materially from those of our current expectations. With that, I will turn the call over to Mike Pearson, President and CEO. Mike?
Mike Pearson: Thank you, Chris and thanks for joining us this morning. Before we begin, I would like to just take a moment to thank our nearly 1,200 co-workers for all the hard work and dedication. Overall, we are pleased with the solid level of backlog and big opportunities as we head into 2014. As we said in our mid period update, our third quarter results were impacted by some jobs that shifted into future periods along with certain job cost associated with differing site conditions. However, these events should benefit 2014. Even with the impacts I just mentioned, our third quarter results once again reflect the year-over-year increases in both revenue and EBITDA and continue to demonstrate that we are on the right path. Looking ahead to 2014, we remain encouraged with our long-term end market drivers and we are confident in our long-term outlook. Today, we are tracking $6 billion worth of bid opportunities over the next few years, of which 18% are federal projects, 32% are state, 22% are local and 28% were in the private sector. We continue to experience strong demand for our services from the private sector as we bid on projects involving infrastructure improvements, replacements and new bills for multiple types of clients, including energy-related companies and private terminal operators. And as our nation continues to import and export energy, we expect to continue to see strong demand for dockside infrastructure to support these activities. Additionally, we continue to see opportunities in the Caribbean from the private sector. Additionally, we continue to see multiple opportunities from state government related to transportation spending and environmental restoration and repairs. Today, we are working and bidding on several bridge projects and we remain optimistic about bridge-related opportunities. Also, we expect to see an increase in environmental restoration and repair related to the RESTORE Act over the long-term. The second portion of the trial to assess fines related to the RESTORE Act is currently underway in New Orleans and is now expected to conclude in early 2014. We hope to begin to see bid opportunities funded by RESTORE Act in 2014. With regard to federal spending, we are pleased the temporary government shutdown has ended. However, the short-term funding bill passed to fund the federal government into the first month of 2014 will likely lead to an uncertain pace of Corps lettings until the balance of the federal fiscal year is funded. Periods of unpredictable and uncertain lettings usually occur when the Corps operates under short-term funding bills. We are also tracking the recent developments related to the Water Resources Reform and Development Act of 2013. This important piece of legislation was passed in the House of Representatives last week with broad bipartisan support. It will now go into conference committee, where the differences between the House and Senate versions of the bill will be reconciled. This WRRDA legislation includes language similar to the RAMP Act to gradually correct the funding gap between the Harbor Maintenance Trust Fund, Receipts and Expenditures for dredging projects. While the HMTF legislation may or may not be additive to the Corps budget, we believe it’s an important step towards achieving self-funding of the maintenance of our nation’s waterways. In closing, we are encouraged by the opportunities the coming year holds. The amount of backlog we have under contract, along with projects and low bid to be executed in the upcoming year is very encouraging. We expect demand from the private sector should remain strong as we move into 2014. And we are poised to capitalize on these opportunities with our specialized workforce, our fleet of equipment and our geographic coverage. Overall, we are pleased with our end market drivers and we believe significant opportunities for continued growth exist. And we are eager to see sustained profitable results and get back to the profits we enjoyed a few years ago. And with that, I will turn the call over to Mark Stauffer to discuss our financial results in more detail. Mark?
Mark Stauffer: Thanks Mike and thank you for joining us today. For the third quarter 2013, we reported a net loss of $900,000 or $0.03 per diluted share, which compares with the net loss of $1.6 million or $0.06 per diluted share in the prior year period. Our third quarter contract revenue increased 18% year-over-year to $88.9 million, of which 40% was generated from federal, state and local government agencies and 60% from the private sector. This compares to 48% from federal, state and local government agencies and 52% from the private sector in the prior year period. During the third quarter, we bid on approximately $400 million worth of opportunities and we are successful on approximately $65 million. The 16% win rate achieved during the third quarter was lower than our historical average due to the timing of certain bid opportunities. Our backlog at the end of the third quarter was $216.5 million, of which 8% is for federal government projects, 10% is for state projects, 20% for local projects and 62% is in the private sector. Additionally, we currently have $227 million worth of bids outstanding, including approximately $110 million of work on which we are the apparent low bidder. Turning to the balance sheet, our third quarter ending cash balance was $31.2 million. At the end of the quarter, we had access to $34 million under our revolving line of credit. And our term debt outstanding was $9.3 million. Additionally, our bonding program remains solid more than adequate to support our bid activities and we continue to enjoy excellent relationships with both our lender and surety. There are positive long-term momentum drivers occurring that give us confidence as we move towards next year. The macro drivers of our business continue to show positive development and we are optimistic that the bidding environment will continue to be strong in 2014. We believe the private sector will remain strong as a result of energy-related infrastructure improvements, opportunities in the Caribbean and private terminal development. Additionally, non-federal public spending may show improvement as a result of the completion of the Panama Canal expansion scheduled for 2015 and resolution of the fines associated with the 2010 Gulf oil spill and subsequent RESTORE Act spending. While federal spending remains uncertain, we are pleased with the overall amount of work we have booked for 2014 as well as the high level of projects on which we are little better. This coupled with our bid market opportunities should translate into increased fleet utilization in 2014 resulting in some gross margin improvement. Additional gross margin improvement may exist if we see an increase in spending by the federal government, primarily judging related projects or we begin to see more widespread pricing improvement. Overall, we are excited about the opportunities in front of us and you are confident that thanks to the dedication of all our hardworking employees. We can succeed and meet the demands of our customers while returning value to shareholders. We believe our specialized fleet, workforce and support facilities position us to be a leader in the market for the foreseeable future. With that, I will turn the call back to Chris to begin the Q&A portion.
Chris DeAlmeida: Thank you, Mark and Mike. We would now like to open up the call for questions. Catherine, will you please review the procedures for placing a question?
Operator: Of course Chris, thank you. (Operator Instructions) Please standby for your first question which is from the line of Jon Tanwanteng from CJS Securities. Please go ahead.
Jon Tanwanteng – CJS Securities: Good morning guys. Thanks for taking my questions.
Mike Pearson: Hi Jon.
Jon Tanwanteng – CJS Securities: How are you doing? The backlog and low bids outstanding combined are about 25% above what you had a year ago. How directly do you think that translates into 2014 revenue growth and also is the margin in that backlog better from a mix or bid margin perspective?
Mark Stauffer: I think with respect to the gross margin, I think there is some improvement there as we talked about with increased fleet utilization next year. We think that should lead to some margin improvement. There is as we have talked about previous calls, we have seen some pockets of pricing improvement. So I think there is some improvement in the backlog as we go into 2014. It’s not widespread as we said, but we think it should translate to some improvement for next year and then the balance of that is dependent on as I said the federal government and what we see coming out of the core spending and things of that nature. That could lead to more improvement, but that remains to be seen.
Jon Tanwanteng – CJS Securities: Okay, got it. And then obviously you experienced these push-outs in some of the large projects that included dredging in the past quarter. Have you seen that trend continue in any other projects or was it more of an isolated one-time issue?
Mike Pearson: Well, I think there we had several projects starting simultaneously in the quarter that experienced some delays and it’s not unusual to see that if you get design changes that may take place in the early phases, but I think it all bodes well for building up 2014 and we did have some increase in job cost on one project that had different tight conditions, which we expect to recover that through change orders in the future. So but now, we did like to see the slippage, but it happened and it’s just going to continue to tee us up for 2014.
Jon Tanwanteng – CJS Securities: Okay. And then if you could, what was the dredge utilization in the quarter and how do you see it trending over the next two or so?
Mark Stauffer: Well, we don’t – we don’t give specifics for competitive reasons. It was improved slightly year-over-year. It’s going to remain choppy though given the comments we made regarding the short-term continuing resolution and just the uncertainty around that. Hopefully what we will see in January is a CR that will take us through the balance of the federal fiscal year that would be our preference. If that occurs that may alleviate some of the choppiness, but that’s we just kind of have to wait and see there.
Jon Tanwanteng – CJS Securities: Okay, great. Thank you.
Mark Stauffer: Thanks.
Operator: Thank you. The next question is from Veny Aleksandrov from FIG Partners. Please go ahead.
Veny Aleksandrov – FIG Partners: Good morning guys.
Mike Pearson: Good morning.
Veny Aleksandrov – FIG Partners: My first question is on the federal shutdown and you say that there was minimal impact on existing federal projects, should this be anything that we should include in our numbers for Q4 or it’s very minimum and we should ignore it?
Mike Pearson: Well, the government shutdown really didn’t have any impact on the ongoing work, that continued. I think the issue there is that with the CR continued resolution it only runs through the middle of January. It just means that there is not going to be that much bid activity on the interim. They have identified a few projects that will be bid between now and the end of year. And we got to have, I know the CR that takes us through the balance of 2014 to get some visibility, but it didn’t have that dramatic an impact. I think the slippage we have reported earlier were private projects as opposed to federal.
Veny Aleksandrov – FIG Partners: Okay, thank you. And then again talking about the federal, 8% of your backlog currently is coming from federal work. What’s the dream number that’s going to bring much higher equity utilization, what are you aiming, where are you aiming to get?
Mark Stauffer: I am sorry, Veny, I didn’t catch the last part of that. I got the part about the 8% of federal backlog.
Veny Aleksandrov – FIG Partners: Yes, where have you been historically in good times and what’s – where do you want to go back to?
Mark Stauffer: Okay, thank you. It all depending on – in large measure it’s a result of what we choose to go after and then what we are successful bidding on. So to the extent it fluctuates between the various sectors is not as significant as having a broad amount of work to go after. In other words a dock job in any sector, whether it’s for the federal government or a local government or private sector is pretty similar. I think the bigger point with respect to the federal piece is certainly the Corps of Engineers is the big part of purchasing dredging surfaces because they just control so much of the demand. So we would certainly like to see that piece increase. But over and above that I mean we have got a lot of demand in the private sector. We have been successful in going after a lot of that work, and that’s why we have seen an increase in the percentage of work that’s coming out of that sector.
Mike Pearson: And I think also – I mean Veny also keep in mind that with regard to the federal piece, a lot of that’s driven by the Corp of Engineers. Those projects are shorter term in their nature. So we don’t necessarily have as much in backlog at any given time even in good times because they come on quick, they burn quick. There is an occasion we will get a bigger job, but generally speaking there is a little bit of...
Veny Aleksandrov – FIG Partners: Thank you so much. That was great color. Thank you.
Mike Pearson: Thank you.
Operator: Thank you. (Operator Instructions) And the next question is from the line of Scott Levine from Imperial. Please go ahead Scott.
Scott Levine – Imperial: Hi, good morning guys.
Mark Stauffer: Hey Scott.
Scott Levine – Imperial: So big pickup in low bids outstanding at the end of the quarter is something you might just be able to talk about the general underlying activity levels and pick up there is that just a function of timing or is there any change in the market within the past few months to the improvement of the pace of award flow, is it kind of gradually improving, maybe a little bit more color on what types of projects are in that low bid bucket outstanding as of today?
Mike Pearson: Well, I mean we got a good mix of all types of work in our $106 million low bids. And it does include some sizeable projects in there. I think the 16% win rate is just strictly a snapshot in time, it’s not any concern about it being below our historical because we have had so much activity in bidding and that’s quite a bit of low bids we will be carrying forward. So we are very comfortable where we are at.
Scott Levine – Imperial: It sounds like it and maybe a little bit of color as well on both the WRRDA bill effect gets passed what types of implications you see for your business there? And similarly on the restore act once those fines get established, can you help us understand either magnitude or types of impacts you see at your business from both of those developments, we might get some news into early next year there?
Mike Pearson: We are more hopeful about the WRRDA bill getting passed than we ever have been and it looks like this is one piece of legislation that both sides of the aisle agree needs to go forward and the house version is over 8 billion and the senate’s 13, and if we are in between there is a wonderful news. I mean there hasn’t been WRRDA bill passed since 2007. So it’s been a long time coming to get this legislation to the floor to conference. And I think it’s going to have a great impact on our ability to improve our dredge and fleet utilization in particular. We are already at a high utilization on our marine assets. So it’s going to be a very important piece of legislation for our company. And I just think that with the Restore Act coming on top. Restore Act is probably going to kick in more in 2015, because once they identify the projects and get the funding started, there will be studies, engineering designs next year. And I think we will have a better handle on the RESTORE Act in 2015, but both of these things just bode very well. I think they are very important to us and will get us back to the margins that we enjoy in prior years because of the increased dredging utilization.
Scott Levine – Imperial: Understood. Thanks very much.
Mark Stauffer: You bet.
Operator: Thank you. The next question is from the line of Cory Mitchell from D.A. Davidson. Please go ahead.
Cory Mitchell – D.A. Davidson: Hey good morning.
Mark Stauffer: Good morning.
Mike Pearson: Good morning.
Cory Mitchell – D.A. Davidson: Just to drill down on the $14 million in growth, can you break that between construction and dredging?
Mike Pearson: Well, as you know we don’t kind of report differently between the two services because again any given project that we do might have all aspects of the different services that we provide. So that said earlier the dredge utilization was up slightly from the same period a year ago. But I think we did have some construction projects and dredging projects both going on or projects that involve both going on in the quarter. As we said earlier and in the mid-period update, we did see some slippage in the start of some projects that particularly involved some of the dredging services and the dredging assets that shifted into future periods.
Cory Mitchell – D.A. Davidson: Okay, thanks. And just to get some more detail on the slippage I mean is that just a quarter out or I mean is that going on the back half of ‘14 or can you give us some more detail on that?
Mike Pearson: I think in general it’s probably more impactful for 2014 and it depends on the given project. But I think a lot of the impacts that we should see in terms of that we saw in Q3 pushing forward we will begin to start recognizing that. More so probably in Q1 then Q4, but I think, we will start to seeing the impacts that it has had in Q4 and that’s reflected of course in the backlog in the low bid type numbers that we talked about earlier.
Cory Mitchell – D.A. Davidson: Okay, thanks.
Operator: Thank you for your question. (Operator Instructions) I would now like to turn the call back to Chris DeAlmeida for closing remarks.
Chris DeAlmeida: Thank you, Catherine. On behalf of Orion Marine Group, we would like to thank you for taking the time to talk to us this morning and we look forward to speaking with you in the future. Also if you have any follow-up questions, please feel free to give Drew or myself a call. Thanks.
Operator: Thank you for joining in today’s conference. This concludes the presentation. You may now disconnect and have a very good day.